Operator:
Brad Miller: I am Brad Miller, CFO of Aspen Tech and with me on the call today is Mark Fusco, President and CEO: I would like to welcome you to our call, to discuss our selected preliminary financial results for the fourth quarter and fiscal year 2008, ended June 30, 2008. Before we begin, I will make the usual Safe Harbor Statement that during the course of this call, we may make projections or other forward-looking statements about the financial performance of the company that involve risks and uncertainties. The company's actual results may differ materially from the projections described in such statements. Factors that might cause such differences include but are not limited to those discussed in today's call and in our most recent Form 10-K and 10-Q on file with the SEC. Also please note that the following information is related to our current business conditions and our outlook as of today, July 31, 2008. Consistent with our prior practice, we expressly disclaim any current intention to update this information. The structure of today's call will be as follows; first, I will provide a brief update on our filing status, then an overview of our bookings performance in the just completed fourth quarter and fiscal year 2008 and some perspective on our financial position at the end of the fiscal year. After I am finished, Mark will provide some additional remarks and an overview of the Company's operational performance. We will then open up the call for Q&A. To update you on the progress related to bringing our financial statements current, we are currently working on the quarterly report on Form 10-Q for the second and third quarters of fiscal 2008. These are being reviewed by our new independent auditing firm KPMG. These are the first financial filings being reviewed by KPMG as our previously filed annual report on Form 10-K for fiscal 2007 and quarterly report on Form 10-Q for the first quarter of fiscal 2008 were audited and reviewed respectively by Deloitte & Touché. As you might appreciate, a lot of work has been completed over the last three months in order to help bring a new auditing firm up to speed. In connection with reviewing the second and third quarters, there has also been extensive testing of the Company's accounting policies and procedures. It has been a long process over the past year to finish our restatement this past April and now to bring the Company's financial statements current. It is difficult to put specific time frames on such matters, but we believe we are in the final stages of completing our work on the second and third quarter 10-Qs. We currently expect to file these with the SEC in the next several weeks and when we do so, we will host a follow-up call with investors. At that time, we will also provide you with our best estimate as to the process for completing the 10-K for fiscal 2008. I would like to thank our investors for their patience in the meantime as we bring this process to a conclusion. I will now provide a summary level overview of selected preliminary financial metrics relative to our just completed fourth quarter, fiscal 2008, ending June 30. This was a strong finish to a record year for Aspen Tech. License bookings in our fourth quarter were approximately $70 million. We were pleased with our performance in the quarter, which was consistent with our expectations and capped off a highly successful fiscal year in which our license bookings grew over 15% on a year over year basis. With respect to larger transactions, we had 13 licensed bookings that were greater than $1 million during the fourth quarter as compared to 18 in the year ago period. We had 37 licensed bookings between $250,000 and $1 million, compared to 27 in the year ago period. Finally, our license bookings ASP for licenses over 100K was $681,000 in the fourth quarter, compared to $625,000 in the year ago quarter. We ended the June quarter with $135 million in cash, as compared to approximately $136 million at the end of the third quarter, and approximately $133 million at the end of fiscal 2007. While our ending cash position is relatively flat on a year-over-year and sequential basis, let me add some color to highlight the strong cash generation of the Company and the manner in which we have significantly improved our balance sheet over the course of fiscal 2008. First, we used positive cash from operations to reduce our secured borrowing balance by over $50 million. Second, with a strong cash position already in place, the Company was able to reduce the level of installments receivable sales by over $90 million, in fiscal 2008, as compared to the prior year. Moreover, we did not sell any installments receivables during the just completed fourth quarter. As we have paid off our securitized pool requirements with financing partners such as Key Banc and Guggenheim, and reduced or eliminated the sale of our installments receivable we were able to grow our total current and long-term receivables balance by over $140 million during fiscal 2008, thus providing Aspen Tech with substantially greater future cash flows as these customer payments are collected.
Mark Fusco: Thanks again to our shareholders for your patience as we complete the process of bringing our financials current. As we stated at the outset, our goal was to complete this as soon as possible but our overriding objective was to be comprehensive as we believe this will ultimately be of long term benefit to our shareholders. As pleased as I will be when we have brought this matter to conclusion, I am equally pleased to share with you that the company continues to execute at a high level and deliver solid operating results. The fourth quarter was a strong performance and finished a record year that was at or above our expectations across each of the key metrics we managed to. Our engineering solutions were particularly strong during the quarter, as was the engineering and construction vertical, which represented three of four of our largest deals booked in the quarter. The combination of ENC's energy and chemicals continue to represent approximately 90% of the Company's licensed bookings in the quarter. From a full year perspective, we achieved our growth target with licensed bookings up over 15% for the full year, leading to a record annual bookings performance. We also continue to operate at a high efficiency level. Our headcount at the end of the fiscal year was approximately 1340 people compared to approximately 1330 at the end of last quarter, and 1300 at the beginning of year. Virtually all of net head count growth in the quarter and the year was in China, where we have been increasing our R&D capacity in a low-cost manner in order to continue expanding and enhancing our product offering. Our ability to drive sales growth with minimal head count increases is a key factor that is driving our cash flow, in addition to the fact that the majority of our business is tied to recurring contracts with annual customer payments. Our business was solid across vertical markets, major product lines, aspenONE, geographies, and large deals during both the quarter and full year. We believe we are still in the early stages of our adoption of aspenONE solutions which we expect to be a significant growth driver to our business for the foreseeable future. Our strategies are working and our growth is a reflection of Aspen Tech's industry leading technology, domain expertise, and blue chip customer base, as well as continued strength and market demand. It is also a reflection of the hard work and high level of execution of our worldwide organization. I feel very good about Aspen Tech's fundamental position and strategic direction as we enter fiscal 2009. We are coming off a strong year of growth, and our sales pipeline and business momentum remain solid. In addition, we have significantly improved the Company's financial profile and we believe that our actions will enable us to continue to do so moving forward. The reduced level of installments receivable financing that we have discussed will have a number of positive impacts on the company from a long-term perspective. These include the ability to reduce interest expense and over time capture approximately 50% of the net present value of the cash flows associated with multi year term-based contracts that we have previously forgone in exchange for the benefit of receiving up front cash. Aspen Tech no longer requires as much incremental up front cash as a result of our increased cash balance and ability to continue to generate strong cash flows from operations. We believe these are all positive developments that we are still in the early stages of realizing. These benefits are expected to come to Aspen Tech over the course of the next several years predicated on the fact that we continue to execute well against our growth strategies. To that end, we are focused on continuing to expand our presence in our core verticals in addition to pursuing underpenetrated geographies, the pharmaceutical vertical and indirect channels. We are pleased with the early traction we have seen in these areas but there's much progress to be made. We believe Aspen Tech is uniquely positioned to meet the needs of the process manufacturers as they face new and pre-existing challenges to their business, despite the recent high prices for oil and chemical products, optimization of expense and fixed assets and volatile feed stocks continues to be a critical issue for our customers and this is driving demand for our solutions. From a technology perspective, customers are looking for software that enables them to integrate their manufacturing operations to the supply chain and they are looking for software that is easy to use, install and maintain. Our aspenONE solutions provide a vertical specific integrated suite of modules across engineering, manufacturing and supply chain. We are the only venture to deliver an end to end integrated suite and aspenONE is considered best of breed in each major product category. In summary, our business continued to perform at a high level throughout fiscal 2008, as our financial organization worked diligently on bringing our financial statements current. We just finished a record year from a bookings perspective and we continue to be optimistic about our outlook. From a longer term perspective, we are executing against a strategy that has the potential to significantly improve Aspen Tech's financial profile as we gain increased visibility into a larger subscription-like cash flow stream and increase bottom line leverage as we use customer collections to pay down the remaining of our secured borrowing obligations.
Operator:
Richard Davis - Needham & Company:
Mark Fusco:
Richard Davis - Needham & Company:
Brad Miller: The main difference you see in the company today, as compared to say a year or more ago. Is that the company has always had a business model of selling term-based licenses to our customers, and often our customers select to pay either up front or over time and the more common would be over time. The main difference that you see in the company today is that we have elected to retain those cash flows in the future for ourselves, rather than factoring the receivables to banks as we have been doing over the past several years. So there is really no change in the way that we interface with our customers or the nature of the licenses that we sell them from a payment perspective. The big difference is that our balance sheet is sufficiently strong now that we do not have to sell those various cash flow streams up front. As a result, that gives us long-term visibility into the future cash flows that we are going to have for our benefit.
 Operator:
Philip Rueppel - Wachovia Securities:
Mark Fusco:
Philip Rueppel - Wachovia Securities:
Mark Fusco: Yes. On the call in April, we did talk about a new ERP system going live, which would have been a couple of weeks later, it did go live. We did process the orders in the fourth quarter on our expanded Oracle ERP system. It did work quite well. We use it now for running the business from, “all the way through shipping and invoicing.” So it did work well. It wasn't without, as usual, some teething problems along the way but it did not impede the company's ability to operate during the quarter and we are very pleased with where we are at. I think it finally gives us a foundation from which we can build on and a way that we have everything in Oracle, which in the future will help us close our books quicker and do the things we want to do and all the things that are important to our investors. From the services perspective, I mentioned on the call, the last call in April that also we were not pleased with how some of our services business was operating. We did decide during the fourth quarter to reorganize our professional services business and pull it into a global group, which we did early in the fourth quarter. We promoted someone to run that business. It was an existing Aspen employee and the results have been very positive over the past several months. Where we were missing our delivery milestones several months ago, we are now making our delivery milestones. The ongoing percentages have improved, and the business is running quite well. We continue to see solid demand for the services business and the bookings around that are consistent with what we would have expected. But I feel confident that we are in the right direction and we have the right organizational structure right now. It's something that could have been done a year or two ago, but as I mentioned in the past, my job here was to start to get the licensed part of the business moving first and foremost, which we have proven that we have done. Now we have got to clean up and finish off our profession a services group and I think we have a very good start. As far as headcount and hiring and where some of the initiatives are, we are and have continued to invest in our sales force. I think you will see we will hire some new salespeople as we try to penetrate some of the new geographies and round out the teams in various parts of the word. It is not a substantial amount of focus on a percentage basis, but I think you will see us hire some new customer-facing folks. The rest of the organization is in good shape.
 Operator:
Dushan Batrovic - Canaccord Adams:
Brad Miller:
Dushan Batrovic - Canaccord Adams:
Brad Miller:
Mark Fusco:
Dushan Batrovic - Canaccord Adams:
Mark Fusco: We have not seen a real change in coverage ratios or what the pipeline looks like by vertical or by geography, over the past year or so continuing into the current environment. I do note that other parts of the economy, certainly other parts of the world are slowing down and we see it in the results of other companies that are in different sector, and also with technology companies, software companies that sell into different verticals. We have not seen it. That does not mean it will not happen on a go forward basis, but as of today, when I look at what we had going into the fourth quarter, and what we have going in the first quarter, for business momentum and coverage ratios, we just have not seen the change.
Operator: Your next question comes from [Mark Cabalsa][Mark Cabalsa]
Mark Fusco:
Operator:
Richard Williams - Cross Research:
Brad Miller:
Richard Williams - Cross Research:
Mark Fusco:
Richard Williams - Cross Research:
Mark Fusco:
Operator:
Mark Fusco: Again, I would like to thank everybody for their time this morning. I would like to especially thank our shareholders for their patience as we bring things to close. Our group is working very hard to do that with our new auditor. I think we are making good progress as Brad mentioned, it is hard to handicap all the time what the dates are going to be, but, we are working our way through it and we are making good progress. I would also to thank our employees for their performance in fiscal 2008 and we look forward to a great 2009. We will be back to you shortly, we hope with a new call to get through the second and third quarter Qs and move our way forward. Thanks.